Catherine Strong: Hello, and welcome, everyone, to the Nanosonics Half Year Results for FY '26. My name is Catherine Strong, and I'm Head of Investor Relations & Corporate Communications here at Nanosonics. As we start the webinar, all participants will be in listen-only mode, and we'll have a presentation of the results from Michael Kavanagh, Chief Executive Officer & President; and Jason Burriss, Chief Financial Officer. During the presentation, the management team will speak to a selection of the slides lodged with the ASX earlier this morning, which we will display via the webinar. If you've joined by conference call only, you may prefer to join via the webinar in addition. [Operator Instructions] I would now like to hand the call over to Michael Kavanagh.
Michael Kavanagh: Thank you very much, Catherine. And a very good morning, everybody, and thank you all for joining us. By now, I assume, many of you will have seen and had an opportunity to have a quick browse through our first half results, which I believe demonstrates another really good and positive half, both financially and operationally for the organization. And there's a lot of detail in all the materials that have been submitted. And before we get into some of those details, there really are a number of key takeaway points I'd like to highlight first. The first being, the company does continue to deliver disciplined growth. You'll have seen revenue increase 9% versus pcp, while operating margin expanded 27%, and that's driven by disciplined cost growth of just 4%. Our recurring revenue from consumables and service continue to grow and all of that's underpinned, of course, by continued expansion of our installed base of the trophon devices. And you'll have seen that upgrades now are also becoming quite meaningful to our growth. In fact, in the half, we delivered 20% total unit installation growth in the half, and that's reflecting both strong new installed base placements and a record level of upgrades in North America. This performance highlights sustained customer preference for the trophon solution. And it is worth pointing out that in the first half, the majority of the upgrades worked actually to trophon2, noting that our next-generation platform, the trophon3 was launched midway through the period and that many of the units in our pipeline were well progressed in the budget approval process. So they stuck with the trophon2. And while this mix together with large volume deals moderated the average selling prices in the near term, these trophon2 installations, they can certainly meaningfully continue to expand our recurring revenue opportunity base and certainly positions us well for software-led value capture over time because those trophon2s now have access to trophon T2 Plus, which effectively gives them the opportunity to upgrade with software to the trophon3 platform. Hence, why many of them decided to go with the trophon2 based on where they were at in the budget approval process. The CORIS commercialization, that's progressing as planned with key milestones during the half being met. And you will have seen our announcement on Friday about the commencement of the Controlled Market Release in the U.K. which, of course, marks a really important milestone and of course, more to follow in the not-too-distant future. And finally, we reaffirm our guidance for the full year. We expect continued growth in core consumables and services alongside ongoing growth in capital unit volumes. So we reaffirm our guidance for the full year. So before we get into some of the details, I think as a brief reminder, and certainly for those of you who may be new to the story. The Nanosonics, every year, our technologies help protect millions of people globally from the risk of cross-contamination through our leadership in our ultrasound probe reprocessing through our trophon platform. And with -- just over 38,000 trophon devices installed worldwide, we now continue to see the power of a large and growing installed base driving recurring revenue, but also capital revenue as well as we continue now driving upgrades and continue to deliver value to our customers. And at the same time, with our innovative endoscope cleaning device, CORIS, so now entering the phased commercialization, we believe that we have a compelling opportunity to extend this -- our proven reprocessing and automation expertise into the endoscope reprocessing, and hopefully unlock a significant new growth avenue for the business. So moving on to a quick overview of some of the financial highlights. The first half delivered very solid operating performance, generating revenue of $102 million, and that was up 9% compared to pcp or 8% in constant currency. And this outcome reflects continued momentum across both our recurring and capital revenue streams. As we predicted and outlined at our full year results in August, gross profit margin percentage, it did moderate a bit down to 76.3% for the half, and that was driven by tariffs, but also, we did have some increased air freights and the product mix between capital and consumables as we're seeing that capital, and particularly the upgrades, beginning to kick in. But importantly, those impacts on the gross margin were anticipated and managed within our broader financial framework. And in doing so, we maintained a disciplined approach to cost management and operating expenses increased by just 4% to $69.5 million. And that's also important that we continue to invest to support our ongoing growth strategy across R&D and our key growth priorities for the business. This operating leverage, it translated into a 27% expansion in operating margin for the business and with operating profit reaching $8.5 million. EBIT on a consolidated basis was $8.4 million, and that represents a 3% decline on a reported basis. However, on a constant currency basis, EBIT actually increased 15%, and that does demonstrate the strong underlying performance of the business. The constant currency view, of course, takes into consideration the impact of foreign currency movements in the first half where there was a net loss of $0.7 million versus a gain of $1.3 million in the prior corresponding period. So there was a $2 million swing in the realized net foreign FX movements. Similarly, profit before tax, that was $8.4 million (sic) [ $10.6 million ], and which was an increase of 13% actually at constant currency. So I think overall, these results, they do highlight the strength and the resilience of our overall business model with revenue growth and disciplined cost management translating into meaningful earnings for the half. But it's not just about the financial performance. The first half also saw strong operating progress across innovation in our operations and digitalization with each initiative reinforcing the foundations for sustained growth into the future. The slide that you'll see just shows a selection of some of the achievements in the half. And from an innovation perspective, as you all know, we advanced the trophon platform with the launch of the next-generation trophon3 and the trophon2 software upgrade halfway through the period. And that's helping and will continue to help capital sales growth volume moving forward. We also achieved important milestones with CORIS, securing our regulatory registrations across Australia, Europe and the U.K. and making important steps towards the phased commercial rollout of the product. In addition, we submitted our first 510(k) application for expanded scope indications. And again, that further strengthens the long-term growth pathway for CORIS, and thus 510(k) is currently under review by the FDA. Operationally, a couple of important achievements as well in the first half. We secured and signed for a new headquarter site, and that move is planned for around April 2027. And this new headquarters, which also includes an expanded manufacturing and technical facility that will significantly strengthen our global operating backbone really, and position us to scale efficiently as the business continues to grow. And importantly, in the half as well, we also appointed new leadership talent to lead key parts of the business through our next phase of growth, and that includes a new Regional President for North America, Bill Haydon, as well as a new Chief Marketing Officer and Head of Asia Pacific, Kimberly Hill. And finally, we made meaningful progress also across from a digital perspective, so successfully implementing and launching the new ERP system and going live with our cloud-based traceability solutions. And these cloud-based solutions -- the initiatives, they really enhance visibility, efficiency and customer engagement while creating a strong digital foundation to support future growth. So overall, I think that the progress we made in the first half reflects the business that's executing well. We're investing with discipline and also continuing to build capabilities to deliver ongoing scalable, profitable growth over the long term. But I'll hand over now to Jason to go through some of those financials in a little bit more detail. Jason?
Jason Burriss: Thanks, Michael, and good morning, everyone. On this slide, you can see the continued strength of our core business model. We ended the half with 38,080 devices in the global installed base, up 6% on the prior corresponding period, reflecting sustained momentum in new installed base devices. That expanding footprint is fundamental to how we grow the business and importantly how we protect patients. Today, that installed base supports the protection of approximately 29 million patients each year. This scale is translating directly into recurring revenue growth. Recurring revenue increased 9% on pcp, driven by solid performance across consumables and service. Core consumables grew in line with the installed base. Ecosystem consumables continued to expand and service and repairs grew strongly at 24%, reflecting deeper customer engagement and the maturity of the fleet. Spare parts, as you can see, declined 23% on pcp, largely due to customer inventory dynamics and lower replacement requirements as more customers upgrade to newer generation systems. Moving on to the installations. This highlights the strength of our installation activity in the half and the quality of the demand we are seeing across our customer base. Total installations increased 20% on the prior period to 2,070 devices, reflecting continued momentum in new placements and importantly, a record level of upgrade activity in North America. That upgrade cycle is a key driver of our long-term value creation. It refreshes the installed base, extends customer relationships and supports recurring revenue through consumables, service and our new connectivity offerings. As Michael mentioned, during the half, the majority of these upgrades were to trophon2 devices, remembering that trophon3 was launched midway through the period and customer budget approvals for trophon2 upgrades were already well progressed. Capital revenue growth was 9% on the previous period to $26.5 million in the half. This included several large-scale upgrade agreements and the capital revenue growth reflects volume-based pricing, which saw a slightly lower average selling price for trophon. Importantly, these trophon2 upgrades are expected to underpin software-led value capture over time with the trophon2 Plus software offerings. Turning to the P&L. We continue to demonstrate strong operating leverage with operating margin growing faster than revenue, reflecting the ongoing discipline in how we manage and scale the business. As Michael already mentioned, total revenue grew 9%, reaching $102.2 million for the half, with growth in both recurring and capital revenue. Gross profit margin was 76.3%. This, as expected, is down 2.2 points on the prior year, reflecting the impacts of tariffs in the U.S. and some headwinds on air freight and product mix impacts. At the same time, we maintained tight operating expense discipline with OpEx growing just 4%, well below revenue growth, while continuing to invest in our priority areas, including R&D. As major development programs mature, R&D has stepped down as a percentage of revenue, demonstrating increasing efficiency while preserving our commitment to innovation. EBIT was $8.4 million, down 3%. The decline in reporting EBIT reflects FX movements with a net FX loss this half versus a gain last year. On a constant currency basis, EBIT improved 15%. I'll just take a moment to expand a little on that last point. In H1 '26, EBIT was impacted by an FX loss of $0.7 million. This relates to the revaluation of non-Australian dollar asset balances, mainly U.S. dollar asset balances as of 31 December, '25. The loss was driven by a strengthening Aussie dollar versus U.S. dollar to 0.67 or approximately 2%, the majority of which is unrealized FX losses. Profit before tax was $10.6 million, down 3%, but again, up at constant currency, plus 13% -- improving operating leverage. On this slide, we're showing the way in which we're driving operating margin expansion through gross margin and cost control. Gross profit margin grew by 6% to $78 million. At the same time, we maintained tight operating expense discipline with OpEx growth held to 4%, well below revenue growth, while continuing to invest in our priority growth initiatives. This combination delivered meaningful operating margin expansion with operating margin increasing 27% to $8.5 million in the half, demonstrating our ability to scale the business, manage cost pressures and continue to expand margins through disciplined execution. We continue to separate out the trophon-only business, highlighting its strength and scalability. The trophon-only business delivered operating margin of $25.6 million, representing 20% growth on the prior period. This business also delivered 9% EBIT growth. Importantly, operating margin as a percentage of sales expanded to 25%, up from 22.9%. This demonstrates the operating leverage inherent in the trophon business model with high-margin recurring revenue continuing to scale efficiently as the installed base grows. The trophon business also continues to generate significant cash, providing funding capacity for working capital, ongoing investment in CORIS and our broader long-term growth strategy while maintaining strong financial flexibility. And with that, just turning briefly to cash and the balance sheet. During the half, cash flow was a modest outflow of about $1.4 million, which reflects our planned investment in inventory as we ramp up for CORIS, continued investment in the CORIS system and the commencement of our share buyback. It also reflected the timing of receivables, which we've seen already improve in January. We've executed around $4 million of our buyback and expect to resume following the blackout period in the coming days. Importantly, we remain debt-free with a strong cash balance of $159.8 million, providing flexibility to fund growth initiatives, support CORIS commercialization and continued disciplined capital management. I'll now hand back to Michael, who will talk briefly about our growth drivers for the trophon business, provide an update on CORIS and take you through our reaffirmed financial guidance for '26.
Michael Kavanagh: Thanks, Jason. We've previously talked about the 7 growth drivers of our trophon business. On the capital side, you've got the new installed base and upgrade sales. And we've now just recently introduced a new capital software upgrade opportunity for all existing and new trophon2 users with the trophon2 Plus. And that software upgrade brings many of the new benefits of trophon3 to them via the upgrade. Then on consumables, we have the core disinfecting consumables and a broader set of ecosystem consumables necessary for the full reprocessing process such as wipes and clean probe covers, et cetera. Then of course, there is the service component, both service contracts or PAYG for those that don't have a service contract. And service, as you all know, comes into place a year after purchase because there's a 1-year warranty period on the device. And then, of course, we've got the -- with the trophon3 and trophon T2 Plus, we've got new and broader traceability solutions within connectivity. So there's a robust ecosystem of growth drivers for the trophon business. And on the next slide, this slide sort of brings them together by illustrating the applicability of each of the growth drivers over the lifetime of the device. Now each trophon device has a typical life span of up to 10 years or sometimes 7 to 10 years and sometimes longer. After which customers, of course, then can upgrade to the latest generation, and we're seeing that now with the EPRs being upgraded to T2 to T3. But from the day a unit is installed, it begins to generate high-quality recurring revenue through those core and ecosystem consumables. And those can scale with customer procedure volumes, so if ultrasound procedure volumes increase, well, then those consumable products increase. And then over time, that's complemented by the service and repair contracts. And that obviously helps customers protect their devices and uptime and overall performance of the technology. And of course, then looking ahead, just mentioned that connectivity and software-based subscriptions can further enhance this model. And these offerings, for the customer, they really support compliance, traceability and workflow efficiency while adding another layer, of course, to our recurring revenue. So together, this combination of capital, upgrades, multiple recurring revenue streams that truly does underpin the strength and resilience and scalability of the trophon franchise. And as Jason highlighted, the performance of the trophon-only business itself is an excellent performance in the first half. Moving quickly to CORIS. As I've already mentioned, during the half, we successfully achieved a number of key milestones. We submitted the first 510(k) for expanded scope indications, and that's in the U.S. And we are currently awaiting the FDA's determination on that. We achieved European, U.K. and ANZ regulatory registrations for the device. And of course, subsequent to the period, just recently, we commenced a Controlled Market Release. And looking ahead, the milestones in front of us include additional regulatory submissions with the FDA for even broader scope expansion of indications. We will be starting further CMRs shortly here in Australia and some more in Europe with the U.S. will commence after the 510(k) -- the first 510(k), and we'll probably wait and get some preliminary insights as well from the initial CMRs prior to commencing. And broader commercialization is then likely to start on a region-by-region basis based on when the CMRs are completed. But as previously indicated, we expect commercialization to start in FY '27. So overall, the CORIS is now executing to plan with clear progress achieved and well-defined steps ahead as we move towards full commercialization. And the image that you see there in the slide is actually the first unit at our first CMR site in the U.K. And I can say that customers over there are quite excited. You can see by the quote, they are definitely expecting to see a lot of benefits coming from the device over time. So we're quite excited by the start of that first CMO. Finally, I'll just move on to our guidance. And as I mentioned at the beginning, we are reaffirming our '26 guidance at constant currency. And that reflects continued confidence in the underlying performance of the business. With that, we expect ongoing capital unit growth half-on-half, noting that the capital average selling price we saw in the first half could be expected to continue into H2, and that will totally depend on the T2, T3 mix and the size of upgrade deals. And we're very, very happy to look at -- there are a number of deals that are quite large. And of course, it's quite customary to do volume-based pricing for deals like that. We're also expecting recurring revenue to continue to grow. And so all of that together, we expect the overall revenue to be within the 8% to 12% as guided back in August. Gross margins, again, we are expected to be in the range of 75% to 77%, and that guidance assumes tariff rates to remain at the H1 levels. We also will continue our focus on operating expense discipline into the second half, whilst maintaining the investments that we're making, not only in CORIS, but also with other priority growth projects that we're investing in. So overall, our guidance reflects a balance of continued growth, disciplined cost management and investment for the long term. It is worth noting, of course, that the guidance is based on FX rates that we provided in 20 August, and that was at the USD 0.65. We do have, as you all know, an ongoing currency hedging program in place. And we also all know that the Australian dollar has strengthened. And if revenue range were recast using an average exchange rate of approximately $0.70 for the second half, then taking into -- taking hedging into consideration, then the revenue range would be approximately 3% lower. So in summary, I think the first half saw the company deliver a very solid operational and financial performance, and we're in a strong position, not only for the growth into the second half, but into the future. So with that, I'll now hand back to the operator for any questions.
Operator: [Operator Instructions] And your first question comes from the line of Shane Storey with Canaccord Genuity.
Shane Storey: I'm going to start with Jason, please. Thanks for the way of, I guess, looking at the revenue guidance under sort of altered FX conditions. Maybe could you help us understand, I mean -- and also thanks for the detail around how the FX played into the EBIT. But if rates were to stay sort of around current levels, can you give us a feel for how those non-Australian dollar asset balances and I guess, other sort of effects might play through the EBIT line?
Jason Burriss: Thanks for the question, Shane. Yes, I think on the constant currency translations and FX, you'll see that page in the appendix. And what we've tried to do is separate out the 2 different impacts of FX. So on that page, you'll see points one and two, we have the FX impacts on the P&L on a monthly basis, and that will obviously impact our revenue and offsetting that slightly our operating expenses. But the second element to the constant currency is the revaluation as at balance date of the non-Australian dollar asset balances. So in the discussion that I just shared with you, we had a 2% movement in that currency from the last balance date, and that cost us around $700,000. So if you then compute that to a rate of around $0.70, that's a 4%, 4.5% sort of movement. So you can do the math and work out that the impact that we would have on an unrealized FX balance in the second half is more than likely 2x, 2.5x what we saw in the first half.
Shane Storey: That's very helpful. Last question I had was really just, I guess, I suppose to Michael and in relation to the recurring revenue in the USA. Could you give us maybe some further insights just how the other parts of the ecosystem grew, say, excluding just the Nanosonics' consumable in isolation, please?
Michael Kavanagh: Yes. The service side of the business grew quite strongly. So that was up 24% on pcp. Obviously, you saw the core consumables, they were up about 9% on pcp, and the ecosystem that was up about 6% on pcp. Included in that recurring revenue in the past has always been spare parts as well. And as Jason explained, spare parts came down in the half. That was sort of anticipated because as we have no upgrades to newer machines, but then the requirement for spare parts dropped temporarily. So the spare parts were down about 23%.
Operator: And your next question comes from the line of Davin Thillainathan with Goldman Sachs.
Davinthra Thillainathan: I guess I just wanted to understand your revenue guidance range of 8% to 12% at a constant currency level. I think in the first half, revenues grew about 8% on a constant currency basis. So for us to sort of think about that growth rate potentially stepping up towards the midpoint of that guidance range. Could you sort of help us understand what drivers you're looking at for the second half, please?
Jason Burriss: Yes. So again, we're reaffirming that we'll be within that guidance. And I think to -- you saw upgrades come through quite strong. So if we see continued strong momentum in upgrades, that can certainly help get you into the midranges. There's normally a H2 pop-up in service revenue as well and that's just associated with the timing of service contracts that happen and when the revenue is realized. So really to get into the mid-ranges or upper ranges of that guidance it just really means performance across really the majority of the growth levers that I outlined in the presentation.
Davinthra Thillainathan: And my next question is on the new installed base in the U.S. I think you did 1,080 units for the half, and that's grown, which is, I guess, good to see. Could you sort of help us understand the ability for you to keep that level of units into the second half? Just sort of any sort of other dynamics that we should be thinking about from a half-on-half perspective, please?
Michael Kavanagh: I think, Davin, we've sort of always guided in recent years that in the U.S. that we'd like to think that we can do between 1,800 and 2,000 new installed base on an annual basis. And we feel confident in that with the U.S. We've got visibility of what the pipeline looks like. But what you can expect to see is that the number of upgrades just in capital units will surpass or begin to surpass the number of new installed base. But importantly, what we're doing is getting growth on both.
Operator: And your next question comes from the line of Josh Kannourakis with Barrenjoey.
Josh Kannourakis: Just first question, obviously, quite a bit of activity in terms of both the upgrades and installed base in the period. And you mentioned -- called out around the higher volume deals that you did. As you look into the second half with some of that visibility, how do you think that breakdown looks in terms of the split, I guess, in terms of some of those higher volume deals versus potentially a bit of a recurrence to some of the more regular as is? Or are the upgrades likely to be just higher because I guess it's earlier in the trajectory in some of the original customers?
Michael Kavanagh: Yes, for the upgrades, it's about 9,000 EPRs still out there. And many of the hospitals had adopted the EPR as their standard of care. So there's still great opportunity for some high-volume deals. And sometimes they take a bit longer, because they're enterprise-wide, but there's still great opportunity for some high-volume deals. And indeed, there's a number of them in our pipeline. And they're all supplemented with those deals for 2, 3, 4, 5 sort of units as well. But we do expect to see more high-volume deals coming through in the second half. And so that's why when we look at our capital revenue, even though we don't break those things out from a guidance perspective, we're mentioning that the ASPs that we were achieving in the first half could be similar in the second half because of that mix.
Josh Kannourakis: Got it. And then you also mentioned a good point with regard to the -- I guess, the additional add-ons and ability to upsell those customers over time into the broader ecosystem. How do you think about from a sales process, just, I guess, the life cycle of those clients when you do bring them on, how quickly do you think you can potentially add some of those additional features and functionality?
Michael Kavanagh: Yes, that's a great question. I think that's a really important point to emphasize is, if somebody has just upgraded to a trophon2 and even if you've got a lower price associated with that because of volumes or trade-ins and things like that. But the reality of it is, we can still add value, further value for that customer through that software upgrade. Now it's unlikely that they're going to do it immediately. And to be honest, we would prefer that our sales force are out there driving all those capital upgrades as fast as possible and then go back. And our new regional president over there is certainly looking at these things infrastructurally as to what sort of structure he puts in to make sure we're driving across the whole 7 growth drivers. But your point is extremely valid that even if we've got a lower ASP, there's a high opportunity for us to capture back some of that plus more associated with the software upgrades over time. And I think you're going to start seeing an uptick in those. There'll be some in the second half, but I think I'm anticipating a lot more in FY '27.
Josh Kannourakis: Great. And then just one for Jason, final one on OpEx. So good cost control there in the period, and you've given obviously the guidance there as well. As we think and we look to the CORIS commercialization, as you mentioned, in '27. Maybe you can just give us a little bit of a framework for how we should be thinking about OpEx there. I know, obviously, that's been a focus for the market, but you've got obviously a pretty established base in terms of infrastructure there already. So any extra context you can give on how we should think about incremental sort of OpEx as we get closer to commercialization would be very helpful.
Jason Burriss: Thanks Josh. Yes, look, I think it will continue as we are today. You'll see in our first half results. But the trophon OpEx was plus 1%, whereas the increase in OpEx was driven by CORIS, which was plus 16% half-on-half. And so what we've said previously still continues today, which is, as we ramp up with CORIS, we will gradually add resources that will supplement the existing sales teams. They may be people that help us out with installations and project management, things that will come out of the Controlled Market Release that we will learn that will help us direct where we need to do the resource investment to roll out CORIS as smoothly and as quickly as possible. But they will be supplemental and we continue to try and drive the operating leverage, which we've been able to achieve in previous halves. And we'll look to continue that certainly in the trophon business as we go through fiscal year '27.
Josh Kannourakis: Got it. So just, I guess, to confirm there, though, Jason, like in terms of -- as we're thinking, it's not a big step-up necessarily into '27, it's a more gradual progression from the half-on-half that we'll see going forward?
Jason Burriss: Correct.
Operator: And our next question comes from the line of Taj Wesson with RBC Capital Markets.
Taj Wesson: I'm just curious as to what makes you confident around the customer base, fully understanding the trophon3 value proposition relative to trophon2? And extension to that, maybe if you could provide some more color around the composition of upgrades into the second half, so trophon2, trophon2 Plus and trophon3?
Michael Kavanagh: If I understand the question, it's more what makes us confident in the customer understanding the trophon3 value proposition. But really, that comes down to the marketing and the sales and ensuring when we're in front of customers, that's their job is to help everybody understand. And also, remember, a lot of what's in trophon3 was driven by customer insights as well. In terms of the composition between T2 and T3 in the second half, we expect that to start moving towards T3 over time. A lot of what's dictating at the moment, the mix on T2 is just based on where approvals are in budget approval processes with the hospitals. But ultimately, over time, we expect the absolute majority to be moving towards trophon3. One other point I'll make on that is, don't -- not to underestimate there's over 25,000-plus trophon2s in the market today as well. So it's not just about talking to customers who are the original EPR customers about trophon3, it's also talking over time to all existing trophon2 users because they now have the opportunity to upgrade with that software -- the T2 Plus software to enable them access a lot of the benefits of trophon3 as well. And that's a significant opportunity when you think there's 20,000 to over 25,000 of those T2s in operation.
Taj Wesson: Great. I guess what I was just trying to understand is, if there is any friction around the pricing of trophon3 relative to trophon2 and customers maybe not understanding that premium that could potentially be unlocked?
Michael Kavanagh: We're not seeing that at the moment. No.
Taj Wesson: And then just around the larger volume deals and sort of the ASP sort of impacts of that. I was just wondering if that extends to consumables as well if there's any concessions provided as a part of those deals.
Michael Kavanagh: No. All right. I think that's the last question in. Again, I want to thank everybody for taking -- I know it's a busy morning on the markets this morning. But I think in summary, again, I think we, as the company has delivered a very solid operational and financial performance in the half. And we're in a strong position, reaffirming our guidance for the second half, but not just for the second half, but all the foundations that are in place for the future as well. And I look forward to catching up with many of you over the coming days. Thanks very much.
Operator: Thank you. That does conclude the conference for today. Thank you for participating. You may now disconnect.